Operator: Good day, and welcome to Smith Micro Software's Financial Results for the Third Quarter ended September 30, 2025. [Operator Instructions] Please note that today's event is being recorded. I would now like to turn the conference over to Charles Messman, Vice President of Marketing. Please go ahead, sir.
Charles Messman: Thank you, operator. We appreciate you joining us today to discuss Smith Micro Software financial results for the third quarter ended September 30, 2025. By now, you should have received a copy of our press release with the financial results. If you do not have a copy and would like one, please visit the Investor Relations section of our website at www.smithmicro.com. On today's call, we have Bill Smith, our Chairman of the Board, President and Chief Executive Officer; and Tim Huffmyer, our Chief Operating Officer and Chief Financial Officer. Please note that some of the information you will hear during today's discussion consist of forward-looking statements, including, without limitations, those regarding the company's future revenue and profitability, our plans and expectations, new product development and availability, new and expanded market opportunities, future product deployments, growth by new and existing customers, operating expenses and the company's cash reserves. Forward-looking statements involve risks and uncertainties, which could cause actual results or trends to differ materially from those expressed or implied by our forward-looking statements. For more information, please refer to the risk factors included in our most recently filed Form 10-K. Smith Micro assumes no obligation to update any forward-looking statements, which speaks to the management's beliefs and assumptions only as of the date they are made. I'd want to point out that in our forthcoming prepared remarks, we will refer to specific non-GAAP financial measures. Please refer to our press release disseminated earlier today for a reconciliation of these non-GAAP financial measures. With that said, I'll turn the call over to Bill. Bill?
William Smith: Thanks, Charlie, and thank you for joining us today for our third quarter 2025 conference call. I am pleased with the progress we have made overall as we continue to advance our discussions around key customer initiatives and identify new opportunities aimed at broadening the reach of our products, setting the stage for future growth. More recently, we implemented some strategic changes across our organization as part of a broader effort to realign our cost structure in line with our long-term business goals, strengthen our financial foundation and accelerate our path to profitability. These cost reduction measures will save the company approximately $7.2 million in annualized costs. The strategic organizational changes we've made affected approximately 30% of the overall workforce and were in part enabled by the completion of certain key development efforts. While difficult, these changes were a necessary and meaningful step forward toward enhancing organizational efficiencies and accelerating the company's path to profitability. We are building a culture of continuous improvement and operational efficiency, and we'll continue to assess and optimize our spending in the coming quarters, while we continue to invest in strategic areas that support innovation and to deliver exceptional value to our customers and stakeholders. We have also made several structural changes to streamline operations and enhance agility, which will enable us to accelerate the delivery of our solutions to market. The timing of these adjustments has been carefully planned and aligns with the completion of our core SafePath 8 platform development efforts. With these initial changes complete, we believe we will be very close to breakeven and expect to be profitable in mid-2026. Additionally, to further support our financial position and business objectives, we also announced a strategic round of financing, which Tim will cover in greater detail a little later in the call. With the opportunities that are in front of us and the efficiencies we have achieved, I truly believe we are entering a new phase of our journey as we progress to return the company back to growth and profitability. Regarding these opportunities, I am pleased to report that our pipeline remains strong and continues to grow. We are engaged in ongoing activities and customer trials in both North America and Europe. We are witnessing a meaningful shift in the carrier market that includes a renewed focus on family subscribers. As 5G growth begins to plateau, carriers are actively seeking new avenues for expansion, and families represent a high-value opportunity. They consistently demonstrate lower churn rates, higher lifetime value and increased spending across devices, data plans and services. Our expanded SafePath platform now offers a more comprehensive ecosystem of tools and flexible delivery mechanisms tailored to family needs. This not only opens new revenue streams, but more closely aligns with carriers' core business strategies, such as selling devices and rate plans rather than relying on traditional secondary sales of value-added services, which have become less of a priority. I believe we are very well positioned to capitalize on these changes. Now let's turn the call over to Tim for a deeper dive into our financials. I'll follow up with more updates later in the call. Tim?
Timothy Huffmyer: Thanks, Bill. Let me start by covering a few recent transactions. As previously announced, in July, we closed a follow-on offering of approximately $1.5 million prior to fees and expenses. In September, we closed on a few notes purchase agreements, which provided approximately $1.2 million of cash to the company in exchange for short-term notes and warrants. In October, we announced a strategic cost reduction in our organization, as Bill indicated. This was primarily comprised of our workforce reorganization. It will result in a cost savings of $1.8 million per quarter as compared to the second quarter of 2025 or $7.2 million reduction in costs for 2026. This excludes payment of employee separation costs. As Bill indicated, these efforts are part of our broader initiative to realign the company's cost structure with long-term business goals, strengthen the financial foundation and accelerate our path to profitability. And finally, yesterday, we announced the completion of a private placement and follow-on offering. Both offerings have been priced based on the market value of the offered securities as of the time of signing the purchase agreement, and the company will issue approximately 4 million shares and an equivalent amount of warrants exercisable for 1 share of the company's common stock at an exercise price of $0.67 per share. The aggregate gross proceeds of the two offerings are expected to be approximately $2.7 million, which includes a committed investment of $1.5 million from Bill and the other Smith. We are excited about this additional funding round as the company pushes to expect -- to breakeven in 2026. Now let's cover the financial results for the third quarter of 2025. For the third quarter, we posted revenue of $4.3 million compared to $4.6 million for the same quarter of 2024, a decrease of approximately 6%. When compared to the second quarter of 2025, revenue decreased by $73,000 or 2%. Last quarter, we had guided to a revenue range of $4.4 million to $4.8 million, and we slightly missed that guidance. The reason for the lower-than-expected revenue is directly related to the company's expectation of launching an additional SafePath feature with an existing carrier customer. The contract for that feature did not get finalized as expected. Therefore, the revenue was not recognized. The company has completed the development effort related to this feature, and we will wait on prioritization from the carrier customer. Year-to-date revenues through September 30, 2025, were $13.4 million versus $15.6 million through the third quarter of last year, a decrease of approximately 14%. During the third quarter of 2025, Family Safety revenue was $3.5 million, which decreased by approximately $410,000 or 10% compared to the third quarter of the prior year. Family Safety revenues decreased by approximately $97,000 or 3% compared to the second quarter of 2025, primarily driven by the decline in the legacy Sprint Safe & Found revenue. During the third quarter of 2025, CommSuite revenue was $792,000, which increased by approximately $148,000 compared to the third quarter of 2024. Revenue from CommSuite increased by approximately $15,000 compared to the second quarter of 2025. As previously mentioned, we sold our ViewSpot product for $1.3 million on June 3. And as such, other than transition services fees, we will no longer have any future revenue from this product. ViewSpot revenue was $26,000 and $65,000 for the third quarter of 2025 and 2024, respectively. In the fourth quarter of 2025, we are expecting consolidated revenues to be in the range of approximately $4.2 million to $4.5 million. The upper end of this guidance range includes some initial revenue related to the launch of the previously referenced new feature at the existing carrier customer, which we previously anticipated would have occurred in the third quarter. For the third quarter of 2025, gross profit was $3.2 million compared to $3.3 million during the same period of the prior year, a decrease of $116,000, primarily due to the period-over-period decline in revenues. Gross margin was at 74% for the quarter compared to 72% realized in the third quarter of 2024. The gross profit of $3.2 million in the third quarter of 2025 matched sequentially the $3.2 million of gross profit realized in the second quarter of 2025. In the fourth quarter of 2025, we expect gross margin to be in the range of 74% to 76%. The increased margin percentage is directly related to lower costs from the cost reductions completed in October. For the year-to-date period ended September 30, 2025, gross profit was $9.8 million compared to $10.7 million during the corresponding period last year. Gross margin was 73% for the September 30, 2025 year-to-date period as compared to the 68% in the same period last year. Once we realize a full quarter of the cost benefits in 2026, we expect our margin percentages to be between 78% to 80%. Our longer-term gross margin target is 85%, which we will continue to work towards. GAAP operating expenses for the third quarter of 2025 were $7.7 million, a decrease of $2.1 million or 22% compared to the third quarter of 2024. The difference was a result of changes in personnel, stock compensation costs and other cost reduction activities. GAAP operating expenses for the year-to-date period ended September 30, 2025, were $34.5 million compared to $55.6 million in the prior year-to-date period, a decrease of $21.1 million or 38% compared to last year. This period-over-period decrease was primarily attributable to the goodwill impairment charge of $24 million recorded in the first quarter of 2024 as compared to the goodwill impairment charge of $11.1 million in the second quarter of 2025, coupled with the cost reduction activities that we have executed along with a decrease in amortization expense associated with our intangible assets. Non-GAAP operating expenses for the third quarter of 2025 were $5.7 million compared to $6.8 million in the third quarter of 2024, a decrease of approximately $1.1 million or 16%. Sequentially, non-GAAP operating expenses decreased by approximately $200,000 or 3% from the second quarter of 2025. We expect an approximate 15% decline in non-GAAP operating expenses in the fourth quarter of 2025 as compared to the third quarter of 2025 as we begin to see some of the impact of our most recent reorganization. Non-GAAP operating expenses for the year-to-date period through September 30, 2025, were $17.8 million compared to $22.4 million for the year-to-date period ended September 30, 2024, a decrease of $4.7 million or 21% compared to last year. As previously mentioned, we expect our 2026 non-GAAP operating expenses to be reduced by approximately $7.2 million as we realize the full benefit of the recent reorganization. The GAAP net loss attributable to common stockholders for the third quarter of 2025 was $5.2 million or $0.25 loss per share compared to a GAAP net loss of $6.4 million or $0.54 loss per share in the third quarter of 2024. GAAP net loss attributable to common stockholders for the 9 months ended September 30, 2025, was $25.4 million or $1.30 loss per share compared to GAAP net loss attributable to common stockholders of $44.3 million or $4.17 loss per share for the 9 months ended September 30, 2024. The non-GAAP net loss attributable to common stockholders for the third quarter of 2025 was $2.6 million or $0.12 loss per share compared to a non-GAAP net loss attributable to common stockholders of approximately $3.6 million or a $0.30 loss per share in the third quarter of 2024. Non-GAAP net loss attributable to common stockholders for the 9 months ended September 30, 2025, was $8.2 million or $0.42 loss per share compared to non-GAAP net loss attributable to common stockholders of $11.8 million or $1.11 loss per share for the 9 months ended September 30, 2024. Within today's press release, we have provided a reconciliation of our non-GAAP metrics to the most comparable GAAP metric. For the third quarter of 2025, the reconciliation includes adjustments for intangible asset amortization of $1.3 million, stock compensation expense of $600,000, depreciation expense of $71,000, changes to the fair value of warrants of $34,000 and a deemed dividend of $635,000. For the year-to-date period, the non-GAAP reconciliation includes adjustments for intangible asset amortization of $3.8 million, stock compensation expense of $2.8 million, goodwill impairment charge of $11.1 million, executive transition costs of $78,000, depreciation of $217,000, changes to the fair value of warrants of $137,000, a deemed dividend of $635,000, partially offset by the ViewSpot sale of $1.3 million. Due to our cumulative net losses over the past few years, our GAAP tax expense is primarily due to certain state and foreign income taxes. For non-GAAP purposes, we utilized a 0% tax rate for the third quarter of 2025 and 2024. The resulting non-GAAP tax expense reflects the actual income tax expense during the period. From a balance sheet perspective, we reported $1.4 million of cash and cash equivalents as of September 30, 2025. This concludes my financial review. Now back to you, Bill.
William Smith: Thanks, Tim. As I mentioned at the beginning of the call, our SafePath platform is tailored for families and includes SafePath OS for Kids Phones and SafePath OS for Senior Phones. Carriers can deploy our SafePath OS software solution to offer devices from existing inventory that are tailored to meet the needs of kids and seniors and their families. This expansion has generated meaningful interest and opened several new conversations with our current and prospective carrier partners, and we have trials currently underway with mobile operators around the world. We remain focused on delivery and expect to get them to the finish line in the next few quarters. Now let me provide a quick update on our current customers. We remain enthusiastic with the continued rollout of our SafePath Kids solution with Orange Spain, which supports the 2-year rate plan for kids. We've maintained a strong partnership with the Orange Spain team, collaborating closely on new go-to-market opportunities. Concurrently, we are advancing the next phase of the product road map with a planned launch later this year that introduces new functionality designed to broaden our market reach. These enhancements have been strategically developed to meet evolving customer needs and are expected to be well received, strengthening our position in the region. We're also making solid progress with the expansion of our footprint beyond Spain with ongoing conversations across other Orange entities. These discussions are gaining traction and reflect growing interest in our solutions. More broadly, we have active trials and engagements across Europe, and I remain highly encouraged by the momentum of our current pipeline. With AT&T, we're actively collaborating our new marketing initiatives as we gear up for the upcoming holiday season. Many of these efforts are tied to a recent product update that significantly expands our market potential. Secure Family is now available to any family regardless of their mobile carrier that they use. It's no longer limited to AT&T wireless customers. This expansion not only broadens our addressable market, but also unlocks new cross-promotion opportunities. I am optimistic about the road ahead as we continue to build on our strong and trusted partnership with AT&T. I remain optimistic about our progress with Boost, especially as we explore new opportunities following the announcement of our expanded SafePath platform capabilities. These expanded offerings have sparked fresh conversations and opened the door to broader engagement. Additionally, we are seeing continued momentum through targeted holiday marketing campaigns and ongoing monthly messages, most notably around visual voice mail. These messages are set to run through the end of the year and further support our growth efforts. With T-Mobile, we remain energized by our continued discussion around the expansion of the SafePath platform and the new opportunities that it can deliver. As I discussed on our last call, T-Mobile has added additional team members to our working group who are very interested and engaged in our current solution as well as our portfolio expansion. With relationships continuing to strengthen across the organization, I believe there remains substantial growth potential ahead with T-Mobile. In conclusion, we believe we have taken key steps to strengthen the company's financial position, establishing a firm foundation from which we can grow. I truly believe the renewed family focus occurring in the carrier market worldwide opens an enormous new opportunity for Smith Micro Software. With the core development of our SafePath 8 platform complete, coupled with a new, faster and more agile delivery organization going forward, we are aligned well with the market today. Our Connected Life vision brings what I believe is the most expansive and powerful offering in the market today. Our family digital lifestyle ecosystem spans the entire family digital safety journey for families from kids to seniors and every family member in between. We are confident we are on a path to profitability. Our mission is not yet complete, but we have implemented the necessary steps to get us there. I am extremely confident in our plan and our team's ability to execute. With that, let me turn the call back to the operator for questions. Operator?
Operator: [Operator Instructions] And at this time, we are showing no questions in the queue. So I would like to turn the conference call back over to Charles Messman for any closing remarks.
Charles Messman: I want to thank everybody for joining today. Should you have further questions, please feel free to call us. Thank you, guys, and have an awesome day.